Operator: Thank you for standing by. This is the conference operator. Welcome to the Eldorado Gold Second Quarter 2025 Results Conference Call. [Operator Instructions] The conference is being recorded. [Operator Instructions]. I would now like to turn the conference over to Lynette Gould, Vice President, Investor Relations, Communications and External Affairs. Please go ahead, Ms. Gould.
Lynette Gould: Thank you, operator, and good morning, everyone. I'd like to welcome you to our second quarter 2025 results conference call. Before we begin, I would like to remind you that we will be making forward-looking statements and referring to non-IFRS measures during the call. Please refer to the cautionary statements included in the presentation and the disclosure on non-IFRS measures and risk factors in our management's discussion and analysis. Joining me on the call today, we have George Burns, President and Chief Executive Officer; Paul Ferneyhough, Executive Vice President and Chief Financial Officer; Louw Smith, Executive Vice President, Development, Greece; and Simon Hille, Executive Vice President, Operations and Technical Services. Our release yesterday details our second quarter 2025 financial and operating results. This should be read in conjunction with our second quarter 2025 financial statements and management's discussion and analysis, both of which are available on our website. They have also both been filed on SEDAR+ and EDGAR. All dollar figures discussed today are U.S. dollars, unless otherwise stated. We will be speaking to the slides that accompany this webcast, which you can download from our website. After the prepared remarks, we will open the call for Q&A. At this time, we will invite analysts to queue for questions. I will now turn the call over to George.
George Raymond Burns: Thanks, Lynette, and good morning, everyone. Turning to the outline for today's call. I'll begin with an overview of our second quarter 2025 results and highlights. I'll then hand the call over to Paul to go through our financials, followed by Louw and Simon, who will provide a review of our operational performance. We'll conclude by opening the call to questions from our analysts. Turning to Slide 4 and our second quarter highlights. We delivered solid performance across our operations, achieving safe production of 133,769 gold ounces. The Lamaque Complex and K??lada? exceeded our expectations for the quarter. At Lamaque, we achieved higher throughput due to the earlier-than-anticipated processing of a portion of the second bulk sample of Ormaque. At K??lada?, our optimization efforts last year led to accelerated inventory drawdown. These additional ounces were initially anticipated later in the year. Efemçukuru delivered a stable production for another quarter. As noted in the Q1 conference call, production at Olympias returned to expected levels and maintained that performance throughout the quarter. Looking ahead, we remain firmly on track to achieve our guidance of producing between 460,000 and 500,000 ounces of gold in 2025. Based on the first half performance, we expect to deliver around the midpoint of our guidance range. Total cash costs and all-in sustaining costs were $1,064 per ounce sold and $1,520 per ounce sold, respectively. Costs were higher compared to 2024, primarily as a result of higher royalties driven by record high gold prices in addition to higher labor costs. Paul will touch on our costs in more detail later in the call. Before moving on to other highlights for the quarter, the photo shown here on the bottom right part of the slide shows the first stages of our open pit mining at Skouries. Last week, while on site with other executives, we watched the mining of our first oxide ore using the smaller ADT trucks as shown here. We were very pleased to see the overall progress at Skouries, which has been impressive. Will speak to this in more detail later on the call. Turning to Slide 5. In the second quarter, our (lost time injury frequency rate was 0.95, an increase from the LTIFR of 0.40 in the second quarter of 2024. We acknowledge there is always room for improvement, and we remain committed to continuous improvement in our safety performance, and we thank our employees for their dedication to maintaining safe operations. Throughout 2025, we are continuing to make health and safety improvements, focusing on high potential risk control, empowering our employees to cultivate a positive and health and safety culture. This is supported by the multiyear implementation of our new Courageous Safety Leadership program, which has been kicked off this year. On sustainability, during the quarter, we issued our annual sustainability report. Additionally, our global sites were also recognized for the dedication and work receiving the following awards. In Québec, the team was awarded the Socio Economic Commitment Felon Award at the Val-d'Or Chamber of Commerce Business Gala. And at the Québec Mining Association Conference, the team was recognized with the Environmental Distinction Award. In Greece, in recognition of the comprehensive health emergency management plan implemented at the Kassandra Mines, the team won the Gold Award at the 2025 Health and Safety Awards. Additionally, earlier this month, Eldorado Gold was recognized as one of Canada's best companies in 2025 by time based on our strong performance in sustainability transparency, employee satisfaction and consistent revenue growth over the past 3 years. Lastly, we announced the expanded normal course issuer bid on May 1 of this year, reinforcing its role as a key pillar in our disciplined capital allocation strategy. This NCIB expired yesterday, July 31. As noted in our press release yesterday, our Board has reapproved the program and expanded its scope to include the New York Stock Exchange in addition to the Toronto Stock Exchange. Year-to-date, we have repurchased over 28 million shares at a cost of $58 million. With a strong balance sheet, ongoing cash generation, improving production profile and the progress on our key projects, we believe that the repurchasing of our shares at current market prices is a prudent way to deploy capital while continuing to invest in our long-term growth. I'll stop there and turn the call over to Paul for a review of our financial results.
Paul Ferneyhough: Thank you, George. Moving to Slide 6. Our results demonstrate strong operational performance consistent with our full year guidance. Sustained elevated gold prices have underpinned robust cash flow generation from our operating assets. In Q2, Eldorado reported net earnings from continuing operations of $139 million or $0.68 per share. This performance was driven by higher average realized gold prices and strong gold sales, partially offset by increased production costs and income tax expenses. Excluding onetime nonrecurring items, adjusted net earnings for the quarter were $90 million or $0.44 per share. Adjustments include a $23 million foreign exchange gain from the translation of deferred tax balances and a $19 million unrealized gain on derivative instruments, primarily related to euro to U.S. dollar currency forward contracts. Free cash flow for the quarter totaled negative $62 million. However, excluding capital investments in the Skouries project, free cash flow was positive $62 million compared to $34 million in Q2 2024, reflecting the continued strength of our operating assets under current gold market conditions. From an operational perspective, cash flow before working capital changes reached $202 million in the quarter, up significantly from $132 million in the same period last year. This increase is attributable to a 52% rise in revenue from $297 million to $452 million, supported by a 40% uplift in average realized gold price, which reached $3,270 per ounce in Q2 this year compared to $2,336 per ounce in the same period last year. Production costs in the quarter amounted to $162 million, a $34 million increase over Q2 2024, mainly due to greater gold volumes sold and increased royalties, the latter contributing to approximately 1/3 of the production cost increase per ounce. Elevated gold prices contributed to higher revenue as well as increased costs, notably royalties and taxes. In Q2, total cash costs were $1,064 per ounce sold and all-in sustaining costs stood at $1,520 per ounce sold. These impacts are expected to result in consolidated total cash costs and ASIC for the full year at or above the high end of our guidance range. Growth capital investments at our operating mines during the quarter totaled $47 million, supporting various projects. At K??lada?, this included planned waste stripping, equipment procurement to extend mine life and ongoing construction of the second phase of the North Heap Leach Pad. At the Lamaque Complex, investments were primarily directed towards the water management structure at the North Basin construction and bulk sampling work at Ormaque. At Skouries, progress remains on track. During the quarter, we invested approximately $117 million in the project, along with an additional $27 million in accelerated operational capital to facilitate our transition to self-perform open pit mining operations. Our current tax expense for Q2 was $45 million, an increase from $21 million in the prior year period, reflecting improved profitability in Canada and Türkiye. Deferred income tax recovery amounted to $11 million versus an expense of $1 million in Q2 2024. This recovery included a $23 million benefit related to the strengthening of the euro against the U.S. dollar, partially offset by a $9 million expense arising from the use of tax attributes in Canada. Turning to Slide 7. Our solid balance sheet continues to underpin the business, affording us significant financial flexibility. We concluded the first half of 2025 with total liquidity of just in excess of $1.1 billion. This strong financial foundation enables ongoing investment in our portfolio of profitable cash-generating operations while advancing the construction of Skouries. It also positions us to capitalize on emerging opportunities and return value to shareholders through initiatives such as the NCIB. With that overview, I'll now pass the call to Louw, who will present the highlights of our Greek assets.
Louw Smith: Thanks, Paul, and good morning. Starting on Slide 8 at our Skouries copper-gold project. At the end of Q2, overall project progress was 70% for Phase 2 of construction. We continue to expect first copper gold concentrate production in the first quarter of 2026 and commercial production in mid-2026. We continued seeing a steady ramp-up of skilled labor during the second quarter with a heavy emphasis on concrete and site-wide structural mechanical labor trades. Personnel through the gate each day grew from approximately 1,300 to 1,730, including 186 Skouries operational personnel recruited to date. The photo on the bottom of this slide is a good visual representation of the operations team we have at site already. Although we've surpassed our labor and personnel target, it's essential to ensure we are matching the skilled workforce to relevant work fronts to support our plan to deliver. This ongoing focus will help us plan appropriately and continue building an even more capable and dynamic team. From a productivity standpoint, we are seeing construction productivity at or slightly better than our assumptions across the site. On this slide, you can see on the top left photo, the process plant where work continues to progress with the SAG mill feed conveyor installed during the quarter. The top right photo shows the tank farm at filtered tailings plant with foundations complete and all five tanks underway with two at the final height. Moving on to Slide 9. During the second quarter, the project capital investment at Skouries was $117 million. The spend in the quarter was in line with our expectations. With elevated personnel on site, we are de-risking the schedule, achieving strong productivity and accelerating work across multiple work fronts to support optimization of commissioning activities. The critical path remains on track, and we expect to meet our project capital guidance of $400 million to $450 million for the full year. In addition, we spent $27 million in accelerated operational capital during the quarter bringing the spend to date to just over $40 million towards the $80 million to $100 million expected this year. Most of the open pit mining equipment is on site and commissioned. The majority of the open pit equipment operators' team has been onboarded with 26 operators on site and training on the open pit mining equipment is well underway. In addition, as mentioned earlier, we commenced open pit ore mining in July. The photos in this slide and the next few slides will show the advancement of work underway. As you can see on the large photo on the left of the slide, infrastructure around the process plant continues to advance. Work in the process plant continues to expand to additional work fronts for mechanical installations, piping, cable trays and cable. As of this week, all of the hydro testing in the processing plant as well as the fire and process water tanks at the pump house is now complete. In addition, mechanical installations are proceeding in the support infrastructure areas. Infrastructure surrounding the main process building is shown with the process plant substation, lime plant, flotation blowers building structurally complete. As you can see on the control building structure, the full floor concrete is complete, and we are now working on the final elevation. The installation of the equipment for the lime plant silos has been completed with cladding and roofing work having started in July. Moving to Slide 10. As you can see on the panoramic photo on the slide, the thickeners continue to advance to plan. Concrete works and mechanical installations for the first 2 thickeners have been completed. Work is advancing on the associated infrastructure with a pump house building with the structural and mechanical rough set complete and pipe rack construction advancing as planned. Water testing of the clarifier and water storage tank was also completed to plan during the quarter. Turning to Slide 11. At the filtered tailings building, which remains on the critical path, we have included a link to an updated time lapse video showcasing the structural steel installation, which is approximately 75% complete as of the end of July. During the quarter, mechanical work progressed with the installation of the six feeder conveyors and collector conveyor completed in June. Additionally, as shown in the photo on the right, assembly of the first filter press has commenced. On Slide 12, work continues on the construction of the crusher building structure. The concrete work has advanced to the second of 3 elevations above the foundation. Additionally, the apron feeder and associated chutes have been installed and the bottom shell of the primary crusher is preassembled as shown here on the far left side of the slide with installation expected in August. During the quarter, conveyor foundations between the primary crusher and coarse ore stockpile advanced to plan, along with the stockpile dome foundations. On the far right photo, the foundation work underway is shown. Additionally, the reclaim tunnel concrete and escape tunnel concrete are complete and preassembly of the first 3 reclaim feeders and associated shoot work has commenced for installation in Q3. Foundations for the process plant feed conveyors are also underway. Before moving to speak to Olympias, I want to take a moment to recognize the Skouries team for their tremendous efforts this quarter as they safely progress the construction at Skouries. Protecting the health and safety of our employees, the contractors, suppliers and communities is our first priority and a cornerstone of our operating philosophy. Moving to Olympias on Slide 13. Second quarter gold production was 15,978 ounces and total cash costs were $1,578 per ounce sold, a 35% improvement in gold production and a 34% decrease in cost over the first quarter. Following the flotation circuit upset conditions in Q1, the plant stabilized, and throughput and recoveries were at planned levels in Q2. Costs during the quarter were impacted by increased labor costs and the impact of the strengthening euro, partially offset by lower transport costs and higher byproduct credits as well as impacts of realized gains on the euro foreign currency collar hedges. We have commenced the mill expansion to 650,000 tonnes per annum. Beginning with earthworks, as a result of delays in permitting and engineering detail, we now anticipate the completion by mid-2026. We are excited for the potential that this expansion will unlock for the Olympias team over the long term. I'll stop there and hand it over to Simon to discuss the Turkish and Canadian operations.
Simon Oswald Hille: Thanks, Louw. Starting in Türkiye on Slide 14. It is my great pleasure to congratulate the hard-working team at K??lada?. In May, they achieved a milestone with safe production of the fourth million ounce poured through all the phases of the operation and site support, this is a true testament to your diligence, commitment and teamwork with an estimated 13 years of mine life remaining at K?? lada?, the site continues to have a bright future as a cornerstone asset for Eldorado. Cumulatively, our operations in Türkiye have now produced over 5 million ounces. Now in to the quarter, K??lada? delivered a solid second quarter with production totaling 46,058 ounces and total cash costs of $1,133 per ounce sold. Total cash costs were primarily impacted by higher labor costs, not offset by the devaluation of the local currency and higher royalty expense driven by the higher gold price and increase in gold sales during the quarter. The increase in production during the quarter was primarily due to continued leaching of gold ounces from stacked ore in the prior year, higher grades stacked in prior periods and accelerated drawdown of inventory as a result of optimization efforts put in place in 2024. The investment focused on closing our high-pressure grinding roll circuit and additional screening and whole agglomeration is on track for an update alongside our third quarter results. Additionally, we have decided to accelerate the expansion of the secondary crusher circuit to facilitate operational de-bottlenecking and reduce the wear on the HPGR. The geometallurgical study for characterization of future mining phases has been decoupled from the investment of the HPGR circuit and is now expected to be complete in Q1 of 2026 as a response to slower-than-expected progress in drilling, core logging and metallurgical testing. On Slide 15 at Efemçukuru, second quarter gold production was 21,093 ounces at a total cash cost of $1,335 per ounce sold. Gold production throughput and average gold grade were in line with the plan for the quarter. And now moving to the Lamaque Complex on Slide 16. Lamaque delivered production of 50,640 ounces at a total cash cost of $721 per ounce sold. Second quarter production was positively impacted from higher throughput, along with the early processing of a portion of the second Ormaque ore sample, which was blended with the Triangle ore feed. This is another exciting milestone as we progress the Ormaque deposit. And with that, I'll turn back to George for his closing remarks.
George Raymond Burns: Thanks, team. In summary, the second quarter was strong, both operationally and financially, reflecting the ongoing efforts across all sites. We saw a 15% increase in gold production, coupled with an 8% decrease in total cash costs compared to the first quarter. We are well positioned for the second half of 2025 to deliver on our production guidance. Our strong balance sheet and quality assets position us to deliver value to our stakeholders, especially with current metal prices. Our growth capital investments in Greece are advancing well, creating diversification in our product portfolio with copper beginning in 2026. We remain committed to achieving and delivering peer-leading shareholder returns, supported by low-cost incremental production across the portfolio. Thank you for your time. I will now turn it over to the operator for questions from our analysts.
Operator: [Operator Instructions] The first question comes from Cosmos Chiu with CIBC.
Cosmos Chiu: Maybe my first question is on your CapEx spend at Skouries in Q2. Good to see that you hit your CapEx targets for the quarter and representing an increase quarter-over-quarter. George, what we're seeing in Q2, is that a good number to use in terms of run rate? Or should we continue to expect that to increase as you get closer to production?
George Raymond Burns: Yes. In terms of activity on the ground, we expect to see a ramp-up in Q3 and then begin to see a ramp down in Q4 and then Q1 as we move into commissioning and startup of the facility, a further ramp down in activity and spending. So yes, it was great to see the increased construction workforce in Q2, beating our expectations and again, we expect to see a bit of continuation in Q3 in those activities and spend rates and then decrease in Q4.
Cosmos Chiu: Great. And I want to thank Louw for a very thorough description of what's happening on the ground. As you talked about in the MD&A yesterday as well, there's a critical path. It sounds like certainly the filtered tailings plant is on that critical path. Could you maybe talk about -- is there anything -- any other items on that critical path? And if the filtered tailings plant is the only item on the critical path, can you remind me why it is on the critical path? Is it just due to kind of lead time, how long it's going to take for the construction of that one area? Could you maybe elaborate on just, again, the critical path?
Louw Smith: Sure. We talked about the filter plant construction as critical path from the beginning of the project. The reason for that is that this was a redesign. We originally had this plan for a wet thick and slurry disposal methodology. And when you look at the footprint of the project, the only place to put this facility was kind of between the plant and the tailings disposal area in a valley. That required a whole lot of geotechnical investigation and foundation work. So we couldn't get down to bedrock. We've had to put, I believe, more than 600 concrete reinforced steel pilings from the fill down into the bedrock. So that activity took a great deal of time. And we got all that concrete work done for the filter plant building itself. It's completed for the tank farm, the compressor building. There's still some activity done -- being done on concrete foundation for purification in the air blower area. But essentially, that's the big reason. There was a lot of activity to get the foundation set. We're nearly through all that work. We've made really good progress on the filter plant building this quarter. You'll see part of the building, we've got the steel members on the roof put in place, and we have made a lot of progress. The bottom two floors are -- all the mechanical work has been completed, and we're now installing filters as we speak on the third floor. And the fourth floor is really just train clearance to be able to pull out plates as we get into operations. So we're feeling good about our progress there, but that part of the facility still is the critical path activity, and we're on track to deliver it in Q1 for commissioning and start-up.
Cosmos Chiu: Okay. Great. Maybe turning to the balance sheet a little bit. As you mentioned, you have a very strong balance sheet at the end of Q2 with over $1 billion in cash. I'm just trying to understand the rationale behind, I guess, you had another drawdown on your term loan, EUR 154.1 million. To me, I don't -- did you need to make that drawdown? Because I'm just trying to work through the math. It seems like your budget for the Skouries is $1.06 billion, of which over $700 million has already been spent. You're generating cash from your other assets. I'm just trying to understand the rationale for that drawdown, you do have a lot of cash now. You would have had a lot of cash even before that drawdown.
Paul Ferneyhough: Cosmos, it's Paul. Look, I think as far as the drawdown is concerned, we're working through the remainder of the project financing facility that's available to us. The interest rates on that facility are very advantageous to us as a company. We managed to negotiate a great deal when we got into that. We've got still about another EUR 85 million under the vanilla facility available to us. And then there's another EUR 60 million under contingent cost overrun. Now right now, I think we will plan to draw down the entirety of the facility. That was what was intended to fund 80% of the investment in Skouries. The balance sheet that we've got today does offer us significant flexibility. And once we get to project completion, we will then have choices around the pace at which we repay that project finance debt. Our disclosure sets out the vanilla terms and conditions, but we do have choices to accelerate both repayments and access cash from Skouries once it comes into production. So really, this is just us making use of the vanilla facility and taking advantage of the very competitive interest rates that we have.
George Raymond Burns: I just add to that, we also believe our share price is undervalued as we deliver on Skouries. So the balance sheet and drawing down the debt enables us to execute on this NCIB and purchase back our shares where we think they're considerably undervalued.
Cosmos Chiu: Great. Maybe just my last question is on K??lada?. I was reading up and you mentioned this as well, there is a potential investment closing of the HPGR circuit with additional screening and whole ore agglomeration that should come out fairly soon. It's the first time I've kind of heard of it. I'm just trying to wrap my head around what is being studied here. And I guess you talked about wear components, W-E-A-R components in Q1. That was mentioned again here in Q2. And so I'm just wondering, is there anything that we should be concerned about in terms of what's happening here at the HPGR?
Simon Oswald Hille: Cosmos, it's Simon. Thanks for the question. In terms of the plan for closing the HPGR, essentially, through analysis, I think we did report last year, we see an opportunity to get a more uniform final product by closing the HPGR. So by doing that, we need to add in a screen for the center product. And once we do that, we need the associated agglomeration drums. So that's really -- those two elements are coupled together. And we're just finalizing the study -- engineering study work this quarter such that we can evaluate what that investment is going to look like for the site. And it also helps us maximize the current invested capital across the entire plant. With regards to the secondary crusher de-bottlenecking, this is really -- as the circuit is designed, there's no protection screen in front of the HPGR. And so a slightly larger secondary crusher enables us to ensure that we don't send oversized material to the HPGR, which on the occasion can cause damage to the drum. So there's nothing new about that. That's really a good practice that we're looking to do. And this also unlocks a key bottleneck area inside the historic, if you like, K??lada? plant. So between those two things, we're setting ourselves up for a long and steady run with our long life in front of ourselves at K??lada?.
George Raymond Burns: And maybe just a slight deeper dive on the damage to the HPGR that can occur. Essentially, if we get too large a piece into that HPGR, it can damage some of the bits. And so those have to then be taken off and replaced and that causes downtime and that causes us throughput. So there's no significant issue in terms of damaging the overall HPGR. It's really the wear pieces that can get damaged and cause really lower throughput. So this will help us in pushing throughput up and will help us de-bottleneck the plant. And as we said in our press release, that part of the investment is moving forward. We're ordering the crusher and moving forward with it all our agglomeration, so additional drums and additional screening, those studies will be completed and discussed in our Q3 earnings call.
Cosmos Chiu: So George, it sounds like throughput could increase and will increase and could this also have a positive impact on recovery as well?
George Raymond Burns: Yes. We're studying whole throughput and recovery benefits out of this overall investment, and that's what we look to speak to in Q3. As Simon said, we had an issue with the drill and so the drilling on future potential pushbacks and so that works a bit delayed. But all this investment could actually help bring future pushbacks and extend mine life at K??lada?. So it's better recovery, higher throughput and potentially increase in reserves if that drilling and metallurgical work all turns positive. So stay tuned.
Operator: The next question comes from Tanya Jakusconek with Scotiabank.
Tanya M. Jakusconek: Simon, can I continue with you on K??lada? and just the pushback on the metallurgical work. And I think you said -- maybe George mentioned it, just delay in drilling. Is it because we can't get drillers? Like why did we have this delay? And so -- yes, maybe talk about why we've had this pushback.
Simon Oswald Hille: Tanya, thanks for the question. Yes, unfortunately, when we started the program, the first drilling contractor that mobilized to site had a substandard drill equipment. And from a safety perspective, we had to terminate that relationship and find a second drilling contractor that sort of led us to sort of a 3-ish month delay on the program. And so we've been working towards that. We do have some interference inside of the ideal spots in which we want to drill due to current production. But we're working through those and hope to sort of get the remainder of the program completed in 2025.
Tanya M. Jakusconek: Okay. And so you do have now a driller in place, the contractor to do that drilling and you're just managing your production versus the drilling is how I understood it?
Simon Oswald Hille: You are correct.
Tanya M. Jakusconek: Okay. Well, that's good. So I'm going to leave K??lada?. And if I can go back to Skouries. So can someone just help me, just wanted to understand a couple of things there. #1, just on your workforce, congrats on having that many people on site. As we look for the remaining portion of the year as we go into first production, can you remind me again what skilled labor we need? So that's the first thing. And how comfortable are you in the retention of this labor? I was very pleased to hear about the productivity slightly above or at. It's been really hot there. So I just kind of wondered how the productivity has gone through August -- sorry, through July because of the heat. So that's my Part 1 of Skouries.
George Raymond Burns: Yes. So when you look at the trades, we're in great shape with the concrete now. That work will be ramping down in Q3, and there'll just be odds and sods to do in Q4. So I'd say that risk is behind us. We very successfully ramped up mechanical installations and structural steel in Q3 -- or Q2, and that's going to continue in the first part of Q3. We were able to secure additional accommodation and that -- and having the additional people available, we executed on that. And really that increased workforce over what we had planned earlier this year is enabling us to complete work that's not on critical path, but by getting that work done earlier, it decompresses the commissioning schedule. So as an example, we've already commissioned the filters for the concentrate. And in August, we'll be commissioning the pebble pressure circuit as that construction was completed actually this month. So we're going to continue to push the metal on available trades to accelerate work to derisk the overall project. But that isn't changing the critical path item, which is that dry stack filter plant. We're already pedal to the metal. On the productivity, it is a very good sign. It basically is telling us that we're going to be able to deliver this on schedule and at cost. Any follow-up to that?
Tanya M. Jakusconek: Yes, I do. So then, George, can we talk about -- so that's great, everything going to plan, first gold pour and I think -- I don't know if it's Q1, I don't know when in Q1. But can you just remind me of your -- we have a quarter later, we're going commercial. Can you just remind me your definition of commercial production? And then can you also remind me the time for this plant to go to steady state and some of the critical items there?
Paul Ferneyhough: Tanya, it's Paul. Just on the commercial production definition, it is open to interpretation. But based on what we see from peers in the industry, I think commercial really is going to be where we've exceeded something like 70% of throughput, and we're getting recoveries around the expected levels for the project. So that's what the ramp-up will need to look like?
Tanya M. Jakusconek: But that's the definition of going commercial.
Paul Ferneyhough: Yes. It's open to some interpretation, but that's a good, I think, ready reckoner for you to understand what we're aiming to do by midyear next year.
Tanya M. Jakusconek: Okay. And then someone can help me on then from there, how we -- well, how long is it going to take to ramp up to steady state and what are the critical items there?
George Raymond Burns: Yes. I would say Q3, we'd expect to be ramped up to nameplate. And this is a pretty simple single flotation plant. Many of us in the company have operated these sorts of facilities. I would say the most tricky thing about this plant is the dry stack tailings facility. We've designed it with six filters. In the commissioning phase, we'll have oxide ore, which is going to be variable and tricky, but we'll be at lower throughput, and we'll have that extra filter capacity at that point. So we believe we're going to have a pretty smooth ramp-up in the second quarter. There'll be some challenging oxide ore types going through that plant. We've worked with Metso, our manufacturer, ensuring we have good variability in filter cloth to deal with the variability in ore types that we expect. And as we get through those learnings in Q2, and then it's fine-tuning. And as I say, we think by the end of Q3, we're at nameplate.
Tanya M. Jakusconek: Okay. That's great. And if I could squeeze one more in. Just saw a couple of companies have been selling their equity stakes in their investments. Can you just remind me what you have outstanding? I think you have Probe left. I forget what else you have and whether that's core or noncore.
George Raymond Burns: Yes. So there's probably just 3 equity investments to speak of. First would be our Romanian assets. And as we disclosed, we continue to work on divestiture of those assets. And at this point, I believe that will happen this year. And then on our toeholds, yes, we have a toehold in Probe and Amex and expect to continue to hold those.
Tanya M. Jakusconek: Congratulations on Skouries, it's good to see.
Operator: The next question comes from Don DeMarco with National Bank.
Don DeMarco: So yes, I really enjoyed seeing the photos of the Skouries development. And so first question on Skouries. The 2026 outlook calls for midpoint of 145,000 ounces of gold and some copper. What is the approximate allocation of this production in H1 and H2, kind of builds on Tanya's question.
George Raymond Burns: We haven't put that sort of detail, but it's heavily weighted to the second half. So Q1 will be in early commissioning. There's not going to be a lot of production. We expect first concentrate in Q1. Q2, we're going to be in ramp-up mode, as I said. So working out the bunds and then getting it up to, as Paul said, probably 70% nameplate by the end of Q2. So it's going to be heavily weighted to the second half.
Don DeMarco: Okay. My next question is on the NCIB share repurchases. They're quite significant in Q2 and they continued post quarter, yet the total approved amount over a 12-month period is much higher. So do you expect these repurchases to increase in H2? Or are the decisions about the repurchases somewhat tactical and you sort of decide once you're within the quarter?
Paul Ferneyhough: Don, it's Paul. So just commenting on Q2, we upsized the facility at our last -- we announced at our last quarterly results, but that NCIB program actually came to an end on July 31. We are limited in how much we can buy on any day. On the TSX, for example, it's 25% of the average volume. So we couldn't really have done much more in the last quarter. For the coming 12 months, the Board has approved a further NCIB program. That does allow us to repurchase up to 5% of our share capital. Again, we are volume limited on each day, the TSX, as I said, 25%. The New York Stock Exchange, a little bit more complicated in how much you can purchase, but it's more than the TSX on a daily basis. We are looking at this as a 12-month program. I think we're going to be opportunistic in terms of investing in our stock price, particularly if we see prices which are lower than what we think is a fair value, which we see in the P/NAV discounts today. So it will build up over time. I don't have any real rate to give you, but we think this is an excellent tool as we sit here at our current stock price to return value to shareholders.
Don DeMarco: That's all for me. So good luck with the rest of Q3 and Skouries development.
Operator: Our next question comes from Lawson Winder with Bank of America Securities.
Lawson Winder: I'd like to follow up initially just on your comments about the skilled trades and those ramping up. They're extremely helpful, especially the commentary around mechanical successfully ramping up in Q2. Looking at some of the other trades like electrical and instrumentation, you guys mentioned in your prepared remarks that some cabling had started. How is that segment of skilled trades ramping up? And what's the outlook for that?
George Raymond Burns: Yes. In terms of the work completed in Q2, I'd say we're just beginning that learning curve. As I said, the pebble crusher facility is now complete, and we'll begin commissioning. So that went well. The productivities on that facility for electrical were at or above our expectations. There's going to be a significant ramp-up in electrical work in Q3 and even into Q4. At this point, we expect to see a continuation of meeting or slightly exceeding productivities. In terms of our workforce planning for the electrical, our contractors have the people that they expect to need, and we have backup alternatives to bring in additional electrical people. So at this point, we're feeling comfortable with the schedule and our ability to repeat on the electrical, what we've seen on the structural and mechanical.
Lawson Winder: Okay. And then also on Skouries, just looking at the euro exchange rate versus the USD. So there was a very significant depreciation in the USD versus the euro, as you know, in the first half. Could you just remind us of what's the direct euro exposure -- sorry, for the remaining spend at Skouries? And how are you guys managing that risk at this point?
Paul Ferneyhough: Yes. So it's Paul here. So on the euro, we've been putting equity and funds in over a period of time. And up to the sort of initial budget levels for the project, we used forward price contracts to put our funds into Hellas Gold in Greece in euros. So we'll be spending from that euro balance, and I think we have something like EUR 250 million to EUR 300 million on deposit at Hellas Gold at the moment. So our real exposure is just around accounting translation as and when we book those transactions as we spend the capital. Now earlier in the year, the euro wasn't as strong as it is at the moment. We've also seen based on U.S. economic performance in the last month or so that the euro has been weakening again. So it's really difficult to say what the exposure is going to be, but we don't see it making a material difference to our overall reported U.S. dollar cost for the project.
Lawson Winder: Okay. Great. And then if I could ask just operationally about K??lada?, if you have the ability to provide some guidance on the gold output for Q3 versus Q4 when considering what you have stacked today and your understanding of the leaching times?
Simon Oswald Hille: Simon here, thanks for the question. Probably to balance the K??lada? production, first half, our grades were a little bit higher than the full year range, and we're expecting that to be more at the lower end of our range, which is around 0.65 grams per tonne in the second half, and that's going to probably soften the production rate into Q3 and Q4. So end up with largely the same production or slightly lower in the second half for this year, mainly due to the grade that we're stacking.
Lawson Winder: And then any sense of how that splits between Q3 and Q4 at this point?
Simon Oswald Hille: Largely the same, to be honest, it's pretty steady in terms of how we would expect it to come out. Generally, with the longer leach cycles that we experienced at K??lada?, there's no real radical change in terms of the rate at which we can extract the -- leach the gold stacked.
Lawson Winder: Okay. And if you wouldn't mind me just fitting in one more question. Your year-end reserve update, I mean, the last one was done at $1,450 were much, much higher than that. How are you guys thinking about what gold price you might be using when you update reserves at year-end and what that might imply for reserve replacement in '25?
George Raymond Burns: Yes. We -- I mean, each year, we do our reserves during the fourth quarter to get the best update we can to feed into our budget process. And so we'll be reaching out to our peers, looking at a 5-year look back and setting that price for this year's reserve update. I would not expect a big increase, but a slight increase in our gold price assumption is we want to remain conservative and ensure our assets are performing great margins going forward and that we can deliver on our 5-year guidance. So stay tuned. We'll give that update later in the year, but I'm expecting right now a slight increase, not a significant one.
Operator: [Operator Instructions] Since there are no more questions, this concludes the question-and-answer session and today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.